Operator: Good morning, everyone. Welcome to the Core Molding Technologies First Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. I will turn the call over to Sandy Martin, Three Part Advisors. Please go ahead.
Sandy Martin: Thank you, and good morning, everyone. We appreciate you joining us for the Core Molding Technologies conference call to review our first quarter 2025 results. Joining me on the call today are the company's President and CEO, Dave Duvall, Alex Panda, incoming CFO and Vice President Corporate Controller, and EVP and CFO, John Zimmer, who will join us for Q&A. This call is being webcast and can be accessed through coremt.com via an audio link on the investor relations events and presentations page. Today's call, including the Q&A session, will be recorded. Please be advised that any time-sensitive information may no longer be accurate as of the date of any replay or transcript reading. I would also like to remind you that statements made in today's discussion that are not fact, including statements or expectations of future events or future financial performance, are forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are uncertain and outside the company's control. Actual results may differ materially from those expressed or implied. Please refer to today's earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Core Molding Technologies assumes no obligation to publicly update or revise any forward-looking statements. Management will refer to non-GAAP measures, including EPS and adjusted EBITDA, debt to trailing twelve months EBITDA ratio, free cash flow, and return on capital employed. Now I would like to turn the call over to the company's President and CEO, Dave Duvall. Thank you, Sandy, and thank you all for joining us today.
Dave Duvall: On May 1, we had the honor of ringing the New York Stock Exchange opening bell. It's a significant milestone for Core Molding, and it was a moment of reflection on how far we've come from bank default just five years ago to a company with over $45 million in cash, strong execution culture, and a clear focus on growth. I want to thank the entire core team for making this transformation possible, and although we're never done, we're proud when reflecting on our accomplishments. Over the past five years, we've delivered meaningful improvements in operations, profitability, and product lines. The result of our must-win battles. These efforts are evident in our ability to maintain and even expand gross margins during a difficult first quarter. Despite macroeconomic uncertainties affecting global markets, we remain closely aligned with our customers and supply chain partners. Our ability to execute through challenging conditions positions us well to capitalize on opportunities in the current environment. We executed our strategy effectively in Q1, delivered solid gross margin expansion, profitability, and positive free cash flow despite lower sales, which we previously anticipated. Notably, we achieved 99.3% on-time delivery and maintained a quality level under 100 PPM (parts per million), both industry-leading metrics. This year's must-win battle is focused on investing for growth. In Q1, we secured over $15 million in annual new business, including $10 million in the building products sector and $5 million in the electric vehicle battery sector. The building product sector win stemmed from our focus on proprietary sheet molding compound, or SMC as we call it, which allows for shorter quote-to-cash cycles compared to traditional engineered solutions. We expect this opportunity to generate approximately $5 million in revenue in 2025 with demand beginning in Q2. Continued investment and operational improvements in our SMC capabilities have enabled the growth. The electric vehicle battery win is our second program with this customer and demonstrates our voice of the customer efforts and drive expansion within current customers. In addition, we've invested in our top coat paint capabilities at our Matamoros facility to support customers in the mobile machinery sector. This investment enhances our value proposition by enabling us to offer a fully integrated solution from proprietary SMC formulation to molding, assembly, and painting all in one facility. This positions us as a complete solution provider for growing markets such as construction, industrial applications, and heavy equipment. Turning to Q1 financials. Revenue was $61 million, gross margin expanded to 19.2%, up 220 basis points year-over-year and up 340 basis points sequentially. Adjusted EBITDA margin was 11.7%, and cash flow from operations exceeded $6 million. We expect tooling revenue to ramp up through 2025, and Alex will provide more detail on the evolving revenue mix there. Core's unique business model and execution discipline create a durable competitive advantage supporting margin stability and healthy cash generation, even in a challenging economic environment. Although John is on the call today to assist with certain investor questions during our CFO transition, I'm excited to be joined by Alex, who will cover the details of our first quarter financials. Alex?
Alex Panda: Thank you, Dave. Good morning, everyone. For the first quarter, net sales were $61.4 million, down 21.4%. As previously reported, this was anticipated and primarily driven by lower demand in the medium and heavy-duty truck vertical and power sports, offset somewhat by growth in our building products end markets. Our first quarter gross margin continued to improve and was $11.8 million or 19.2% of sales, compared to 17% in the year-ago quarter. As Dave mentioned, our gross profit margin increased 220 basis points from a year ago and improved 340 points from the fourth quarter of 2024. Our gross margin improvements are primarily due to a favorable product mix, operational efficiencies, and better raw material costs. Since most of Core's cost of sales is variable, our ability to maintain gross margins within the targeted range is based on how effectively we manage variable expenses when demand changes. We typically have good visibility on demand to reduce variable costs when necessary and reduce gross margin volatility when revenues decline. SG&A expenses for the first quarter were $8.9 million, which included $500,000 in severance expenses for earlier restructuring. Excluding severance, SG&A costs for the first quarter were $8.4 million compared to $8.6 million in the prior year. Decreased SG&A costs were primarily due to lower labor and benefits, including bonus accruals, which were partially offset by unfavorable foreign currency translations of $343,000. As part of our Q4 reduction efforts, certain employees were kept on through Q2 of 2025 to ensure an orderly transition. We expect the restructuring to generate both gross margin and SG&A savings in 2025, some of which is already reflected in the first quarter gross margins. As we had previously communicated, our must-win battle this year is to invest in growth. We are using some of the restructuring savings to invest in additional sales resources, as well as market analysis to enable us to focus our sales efforts in certain markets. Operating income for the quarter was $2.8 million or 4.6% of sales, compared to 6.1% of sales in the year-ago period. Net interest expense was $16,000 in the first quarter compared to $82,000 in the quarter a year ago. Lower net interest expense was primarily due to higher interest income from cash accumulation that earns interest income. The first quarter's effective tax rate was 25.6% compared to 21.5% in the prior year quarter due to an income shift among our jurisdictions. Net income for the first quarter was $2.2 million or diluted income per share of $0.25 compared to net income of $3.8 million or diluted EPS of $0.43 in the comparable year period. Excluding the impact of severance, our first quarter diluted EPS would have been $0.29 compared to the $0.43 in the same period a year ago. First quarter adjusted EBITDA was $7.2 million or 11.7%, an improvement from the 11.2% EBITDA margin in the year-ago first quarter. We generated $6.1 million in GAAP cash from operations, up from $5.1 million a year ago. After capital expenditures of $1.8 million in the first quarter, our positive free cash flow was $4.3 million for the year's first three months. We expect 2025 capital expenditures to be approximately $10 million to $12 million, with a number of large press upgrade projects completing during the second quarter of 2025. As of 03/31/2025, we were in a strong total liquidity position of $94.5 million, which included $44.5 million of cash plus $50 million available under the revolver and capital credit lines. The company's term debt was $21.1 million at the end of the quarter, and our debt to trailing twelve months of EBITDA ratio continues to be less than 1x. Our return on capital employed, a pretax return metric, was 8.7% and excluding our cash balances, was 11.7%. Both metrics are computed from our trailing twelve months of operating income to total capital employed. With lower sales volume, asset utilization was under pressure. We have the production capacity available to generate annual revenues of at least $450 million, and as we fill out our production schedule, we will see return on capital employed rebound. Please see our earnings release for our GAAP to non-GAAP reconciliation tables. Our capital allocation strategy continues to focus on growth, organic and inorganic through acquisitions, managing our debt for flexibility, and share repurchases. We will continue to be disciplined and selective concerning core M&A activities. We also understand that strategic growth for Core Molding will provide enterprise value expansion, strong cash flow generation, and better return metrics. During the first quarter, we repurchased approximately 63,000 shares at an average price of $4.50. Dave will discuss our expectations for the full year more in a moment. For the first half of 2025, we now expect our revenues to be down between 10-15% compared to previous guidance of down 5% to 10%. The change in guidance is mainly due to tooling sales shifting to the second half of the year and lower than expected product sales in the heavy and medium-duty truck market due to macroeconomic and regulatory uncertainties. One-time tooling sales are recognized at customer acceptance of the tools and, therefore, sporadic in nature from a timing standpoint and often will move between quarters. As John mentioned last quarter on tariffs, most of our raw materials are U.S. sourced. We continue to mitigate tariff impacts for non-U.S.-based raw materials but expect to pass through incremental costs to customers. We will monitor and adjust our cost structure for any customer demand impacts as many OEMs we serve operate in Canada and Mexico. Although our products in both Canada and Mexico are USMCA compliant and currently are not subject to tariffs, the tariffs may impact our customers' sales, which could impact their demand for our products. We are working closely with our customers to understand this impact and adjust our production levels accordingly. And with that, I would like to turn it back to Dave. Dave?
Dave Duvall: Thanks, Alex. In Q1, we repurchased over 63,000 shares, nearly $1 million of stock, and followed up after that with another $1 million post-quarter stock purchases. We view these repurchases as a high-return investment in our own transformation and future. We remain active in M&A discussions. While we came very close to an acquisition last quarter, the seller ultimately chose a private equity buyer. Again, our pipeline remains robust and aligned with our strategic priorities. Like many companies, we are not providing formal 2025 revenue guidance due to macro uncertainty. We are monitoring global trade dynamics and potential regulatory changes, including the EPA's 2027 rule, which may shift demand timing in key markets. In talking with executives at our large truck customers, they specifically stated they are expecting no changes to model year 2027 emissions. Our team is in constant contact with customers, and we are prepared to adapt quickly. Although full-year revenue expectations are unclear, we believe we will be able to maintain gross margins in the 17% to 19% range for the full year as we adjust our variable costs with fluctuations in demand. Internally, we're focused on scaling operations and leveraging our fixed cost base. Our sales and marketing team is driving wallet share growth by engaging our OEM customer design cycles and promoting our full range of capabilities, including proprietary SMC formulations, large part molding, and now top coat painting. We continue to prioritize high-value parts and sectors where our technical differentiation gives us an advantage. These include construction, energy, industrial, and medical markets. Our technical solution sales approach is driving better customer engagement, and trade show participation is increasing our sales funnel. M&A remains an active part of our long-term growth plan, but we're also confident in our organic growth opportunities, particularly through deeper integration with existing customers and entry into adjacent markets. I want to thank our team for the continued execution, our customers and shareholders for their trust, and our board for its ongoing support. Lastly, I'd like to share that Alex Panda, Eric Kalamaki, our COO, and I will attend the East Coast Ideas Conference in New York City on June 11. We look forward to connecting with many of you there. With that, let's open the line for questions. Operator?
Operator: Certainly. At this time, we will be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment please while we poll for questions. Your first question for today is from Chip Moore with ROTH Capital.
Chip Moore: Good morning. Hey, everybody. Thank you for taking my question. Alex, welcome to the call. I wanted to ask, I guess, just first on growth, maybe a little bit more, Dave. You called out, I think it was $15 million of annual new business. Just maybe on that SMC shorter quote to cash, what's the capacity and potential there? And then maybe some more insight on some of the funnel for new opportunities.
Dave Duvall: Alright. Now we're pretty excited about the SMC. We've been pushing that for a while, really getting the capacity and the processes in place for the SMC to be able to sell that. We really didn't focus on that in the past. We do see it as an ongoing revenue opportunity for us in really selling our proprietary SMC. This is going into the construction industry. So you look at a lot of the doors and windows, things like that, they're SMC composite on the outside, usually a corrugated material on the inside. So we see a lot of opportunities with that. And really, also supplying the SMC into other markets as well. So I think a big thing for us is that that is much shorter on the quote-to-cash cycle time. You're really only approving a material that is either already approved or used in other applications. So it's much faster and simpler. We do see a lot of capacity in that area. We have two machines for producing SMC. So see a lot of capacity and capability for that market itself and capacity already installed in Columbus for that. So as far as the pipeline, yeah, the challenge we have and I've seen it for the last several months is that the pipeline is almost inverted to where you have all these quotes coming through. And with what you see in the market, everybody wants to wait before they find out what to do. And a prime example is we're working with two large truck customers to where they're making a decision whether they want the manufacturing in the U.S. or whether they want it in Mexico. Right? So for us, we would then capacitize. We'd looked at working and setting up a new plant in the Monterey area for one of the customers. And now they're looking at whether they want to delay that or whether they want to do it in the U.S. So it really is on the end customer side on delaying their decision-making on major decisions. And for us, we're right in that major decision because once they decide to go with Core and they say, we want to go in the U.S., now we're putting capacity in or setting up a plant, and they have to spend a lot of money on tooling once they kick us off. So that's really the challenge. We have several large opportunities on the truck side. Power sports. I think we're seeing some new opportunities even in the automotive on truck beds and things like that. It's waiting for those to come through the quote system and finalize a decision.
Chip Moore: Yep. That uncertainty. Are you seeing or do you think your footprint and having a fair amount of capacity, right, in the U.S. and Mexico, is that, you think, going to be an advantage maybe with some things coming back domestically?
Dave Duvall: No. Absolutely. We're already going back through quotes that we had done in the past. Usually, things that are high weight, low pack density, things may be like a vault lid itself or some of the more flat, larger pieces that were done in China. Being able to bring those back to the U.S. So we're actively going after that. I would say we're well-positioned relative to capacity in the U.S. on being able to bring business back into the U.S. So a big part of our strategy is what opportunities does this present for Core and how do we take advantage of those and get those into the U.S.
Chip Moore: Got it. That's helpful. And any more on some of those other markets you talked about more recently? I'm thinking, like, you know, medical, the hospital beds, turf protection, some of those types of newer areas. How are those going?
Dave Duvall: Yeah. Good. I think the turf protection, we have products that are already shipped, they're already in production. We're working on the next gen with the customer that we deal with on the next generation. I think we're probably one of the few competitors that can actually mold that in one piece on the size of presses that we have, which I think is a big advantage for us. Also, when you start looking at the medical, we can do a great job once we have a customer that is a technical product and we're in there and they see what we can provide and do. So we see other opportunities in the medical relative to the beds as well as large equipment. So we see that as a big opportunity for us. We continue to drive into energy. We do well with, like, generator bases, things like that. We're seeing more demand there. I think the big thing is that we're winning, you're seeing wins on the smaller programs, $2 to $5 million. But the bigger programs, the big $30 to $40 million programs that we're going after, those are the ones that you're seeing getting held up from big decisions.
Chip Moore: Yeah. Makes a lot of sense. Okay. And maybe just one last one. I think you called out some large press upgrades this quarter. What's going on there? What does that give you?
Dave Duvall: Yeah. Some of our presses are, I would say, older. They're in good shape, but you can speed them up with technology now between the valving and then hydraulics and the controls, the closed-loop controls. So we are working on, we're really evaluating, does it make sense? We're evaluating a complete upgrade on at least one of our presses to evaluate if that gets it to the level that we want. So, really, it's about taking a press that works well, but given the closed-loop controls and the valving on it, you could operate it significantly faster if you had updated all the controls. Basically, the movement speeds and the control positions.
Chip Moore: Got it. Appreciate it. Sorry. Maybe one last one on you called out, Dave, I think coming close on a deal last quarter, but they went to PE. Maybe just what you see. Disappointing. You know, I was on the call, I was actually gonna say, I actually got a phone call, it was a sorry, it's me, not you, call. We were close.
Dave Duvall: In general, like, it's multiples there and PE, you know, is PE more active? I mean, I could imagine, you know, where your book value sits. You know? Maybe even Core is being looked at, but just your thoughts on valuations and
Dave Duvall: You know, I mean, before Core, I was with Carlyle Group and our idea of private equity and what we went after and the value proposition we were able to present to someone there was really about investing the money in growth and we're gonna try to drive this and grow it and sell it. You know, at Core, I think we offer something a lot different. And I really thought that it was our competitive advantage in this case where, you know, if you have a company that's $20 to $80 million, yeah, they're probably a family company, maybe one or two plants. And it's a lot of legacy, and they really want a company that's gonna come in and keep that going and take care of the family, and I think that's what Core offers to another company that's looking to sell. It's that continued legacy. And we see that a lot, you know, in this specific circumstance. You know, it was, you know, something else mattered, and it was quite a while. It was quite a decision process. I know he was going back into it many times. We had many discussions.
Chip Moore: Yeah. Chip, what Alright. Yeah. What we're seeing in the marketplace for acquisitions is multiples in between six and seven for some of the companies we've looked at. And like Dave said, you know, we were competitive in our pricing for this one. It just the owner decided to go, you know, PE for other reasons.
Chip Moore: Gotcha. No. I appreciate it. Okay. I'll hop back in. Thanks very much.
Operator: Once again, if you would like to ask a question, please press 1. We have reached the end of the question and answer session, and I will now turn the call over to Dave Duvall for closing remarks.
Dave Duvall: Alright. Well, thank you for your continued interest in our company, and we look forward to providing an update on our progress when we report the second quarter results. Thank you, and have a great day.
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.